Operator: Good afternoon and welcome to the ClearSign Second Quarter Results Conference Call. All participants will be in listen-only mode. (Operator Instructions) After today’s presentation there will be an opportunity to ask questions. (Operator Instructions) Before we get started, during the course of this conference call the company will be making forward-looking statements. We caution you that any statement that is not a statement of historical fact is a forward-looking statement. This includes projections of earnings, revenues, cash or other financial statements, any statements about plans, strategies or objective of management for future operations. Any statements concerning proposed new products, any statements regarding expectations for the success of our products in the U.S. and international markets; the outcome of product research and development. Any statements regarding future economic conditions or performance, statements or believes and any statements of assumptions, underlying any of the foregoing. These statements are based on expectations and assumptions as of the date of this conference call and are subject to numerous risks and uncertainties that could cause actual results to differ materially from those described in the forward-looking statements. These were also described in the section of today’s press release titled cautionary note on forward-looking statements and then reports we filed with the Securities and Exchange Commission. Investors or potential investor should read these risks ClearSign Combustion Corporation assumes no obligation to update these forward-looking statements to reflect future events or actual outcomes and does not intend to do so. Please note this is event is being recorded. I’d now like to turn the conference over to Rick Rutkowski, Chairman and Chief Executive Officer. Please go ahead.
Richard Rutkowski: Good afternoon everyone. Thanks for joining us. I hope some of you have – all of you had a great summer and been enable to maybe get away a little bit. We had a very busy time here including actually lots of folks visiting in recent weeks and a lot of activity and some of which will be able to give you some color about. Jim Harmon is going to run through the financials very quickly, certainly no surprises here generally on or under budget. As we said, we made some minor reallocations from one area to another notably in the business development domain where we are under running some budgets in technology development and IP. And we have some very promising activities going on as a consequence of that. But, I think other than that there is nothing terribly controversial here or unexpected at all. So, go ahead Jim.
James Harmon: Okay. Thanks Rick. Just to remind everyone, we are development stage company so we have no revenue. And we will – (seems) to be development stage company when we commenced recording revenue. And I will let Rick speak with regard to our efforts to get to that stage. With regard to our expenses for the quarter, our net loss was $1.4 million for the quarter versus last year is a little bit more than $1 million. So our expenses have increased by ($385,000). Now was predominantly R&D increases – increased efforts there. We hired four new FTEs since last quarter – a year ago last quarter. And then consumables increased quite a bit probably about $100,000. On the G&A side, our cost have increased by $137,000, some early marketing and a little bit of extra expenses being a public company since we were – a public company for only a portion of Q2 last year. Probably more important compared to the Q1 of this year, our last Q1 was $1,357,000 versus $1,000,004 this year. So you can see this increased by about 4%. But, the make up of it has changed. Our G&A cost have diminished a little bit by about $30,000 and R&D costs have increased by about 20% from $450,000 to $540,000. Again, that reflects our increased effort quite a bit of use of consumable materials et cetera in our testing efforts. And again, Rick can speak to all of this in the ongoing discussion. With regard to our cash position, we had $6.6 million at the end of Q1, we are at $5.1 million at the end of this quarter. You can see from that our cash burn is roughly equivalent to our expense – our P&L expense. And we continue to be on plan and project that we have enough cash (to last through) April 2014. With that, I will turn it back to you, Rick.
Richard Rutkowski: Yes, thanks Jim. So, as Jim mentioned, we have had significant increase in R&D activity and it’s been as we reported here highly productive. And I think just sort of – the story in some ways is getting easier to tell because we are converging on a couple of different approaches mainly the Duplex architecture technology and the ECC technology as it relates not only to the Duplex but to the combustion and solid fuels. Principally in great types soaker systems that’s one where you have a moving grate that moves the fuel through the system. Our combuster here, our furnace here – our test furnace does not have a moving grate, it has a fuel delivery system that allows us to continuously feed fuel into the system. But it’s a good proxy for that type of system and certainly representative. And so – when I mentioned about sort of an intensified focus what’s happening as we engage with the market and deepen our level of understanding with respect to used cases. And correlated with what we are finding and developing and demonstrating in the laboratory. The three segments that are really emerging is very promising in terms of early points of market entry are package boilers which are ubiquitous. Those are found in every line from food processing, through building heat and in between large numbers of those 100s of 1000s units in the U.S. many, many more around the world obviously. And then also, refinery and petrochemical process heaters where NOx is also a primary consideration in plant shape. And then the third area of intensified interest is with respect to the combustion of solid fuels at the industrial scale. And that goes on in a variety of industries we are seeing the forest products industry certainly in food processing with respect to things like sugar refiners and things of that nature. And cement industry is substantial user of solid fuels as it also called opportunity fuels. So, these really represent sort of three segments. The first two namely, petrochemical and oil refineries and package boilers are both really addressed by the Duplex burner architecture. And it’s a good example of why we refer to this as an architecture because it really is a set of principles that can be applied in different ways in different systems and there is some minor difference between how you use this in a package boiler versus a refinery heater. Refinery heaters can be down fired, side fired or up fired and they tend to be firing the flame at process to in heater cabins in a package boiler of the fire tube type, which is what we are working with now. We will also likely address water tube boilers. The fire tube boiler which is more common is essentially a side fired system where the burner is mounted inside of a tube – a metal tube and that’s each of the surrounding fluid and that’s called the (Morrison Tube). So, we really focused on right now up fired and side fired for packaged boilers and for refinery process heaters with that Duplex architecture. And with respect to the working solid fuels we are squarely focused on industrial scale in a near term as a point of market entry everything I remind you that we do at the industrial scale is a very keen interest to our friends in the utility segment. And indeed we have some potential projects in that arena with respect to combusment of lignite and things of that nature that are quite interesting. But, longer term again because these are much larger scales system. So, our efforts to remind those of you who are familiar and to introduce the idea to those of you who are new to the company is to just as we in our laboratory efforts scale from 0.5 million to a 1 million to 5 million Btu’s per hour. We will follow the same trajectory in the marketplace and address a larger, larger systems. And at some point you will – you may some developments relating to smaller systems as well. Let me sort of explain because I’m not sure that I have ever fully underscored this. But, the reason that we are addressing the sort of 5 million to 10 million Btu per hour scale of system, which gets us into again refinery heaters and package boilers and things of that nature. It really represents a sweet spot in the marketplace and a sweet spot and therefore our technology and also which the domain where the nature of collaborative development really makes a lot of good strategic sense in that domain. I mentioned that if we were to talk with folks as we are about residential and commercial heating, smaller heaters, the nature of those projects – the development project to actually undertake and create a reference model of that kind of system is not terribly expensive or long effort and something that we will likely undertake ourselves as service (concords) activity. So, and in that case, we think we can be successful with the NOx abatement trajectory that we have demonstrated, showing something that we think is going to be very compelling to the major producers of those systems who are not yet regulated but believe that and probably correctly that at some point they will be. So it’s going to be slightly different sort of model there. In other words, you are not likely to see an announcement of a development deal precede an announcement of license, it’s likely just to turn into a license pretty quickly in that regard. Simpler systems, smaller scale, smaller project can make it happen. And we are at this point, I think pretty confident that we are going to get good results. Let me sort of switch gears now. Because I think that sort of a broad statement about commercially what we are targeting and what’s involved. I want to talk about first technical progress which you seen announcements about and then business development progress, which is really a lot of behind the scenes activity right now. And obviously, what we are all looking towards perspectively as we look at the next couple of quarters. So what has really set the stage for us, in a very compelling fashion and frankly has exceeded our own expectations is that – are the results, pardon me that we have been able to achieve and report with our Duplex burner architecture. And I want to emphasize that this is indeed the deeper we dig into this, the more folks that we talk to about it. The more we realize it. This is indeed a very, very big deal. And I think I may have sort of snug something into the press release today that is probably important for or highlighted because of that which is, I think everyone is aware that we managed to go from 15 to 8 to 5 to 3 parts per million. And that we said earlier that we would achieve 2 parts per million in the current year in the press release today I think we raised the bar and said that we think we can do that 2 parts per million by the end of this quarter and I feel pretty confident about that and that we will – our new goal and we’ll call it a stretch goal for now because two parts per million of NOx is already very impressive and game changing stuff like that. We think we might be able to get down as well as one part per million and so that’s going to be the stretch goal for the current year and we wouldn’t penalize anyone if slips into the first quarter. Why is that important? Why is this NOx important? One, the fact -- of the NOx reduction by itself to the single digit numbers, is not important so much as it is taken in the context of what happens with Ultra Low NOx burners and we’re certainly well under the domain of Ultra Low NOx at any sort of single digit number. The current body of regulations and a competing technology called Selective Catalytic production and I apologize some of you heard this. So, I’ll try to make it quick. But what happens with Ultra Low NOx burners is, as you try to move from 15 to 8 to 5 to 3 parts per million, you end up systematically trading off more and more energy efficiency because in order to get to those kinds of numbers not only you have to use very sort of heroic tricks in terms of managing lean and rich fuel (inaudible) and zones of combustion. But you also have to supplement that with substantial amount of external full gas recirculation which is very large fans to drop power away from the system and in many cases substantial increases in excess here. And indeed, this has been the Achilles’ heel if there is one of Ultra Low NOx burners. The market has overwhelmingly by the FOB preferred Ultra Low NOx burners as compared to Selective Catalytic reduction because even though there is that energy efficiency penalty which goes directly to total cost of ownership. It’s still a lot cheaper than the capital cost of Selective Catalytic reduction which is a multiple of the cost of Ultra Low NOx burners. And more importantly the operating cost, installation costs are extensive and expensive and the operating cost involved consumables including hydrous ammonium and handling of ammonium slip and hazardous material. So, this is really been brought to the fore, if you are interested enough to do all background work on your own, what you want to look at as what’s happening in Southern California, the South Coast Air Quality Management District and in Houston, Texas because they are leading the charge on NOx. And they’re pushing down on these trade-offs that I have just described, right, we can get to the number but we can’t do it. The other interesting thing that’s happening in the regulatory world is that the regulators have started slamming down other doors meaning that they’ve said okay, you have to do the five parts for million of NOx, but you also have to maintain certain levels of energy efficiency. You can’t in other words you can’t just simply do it at the expense of dramatic loses energy efficiency. So, this is really set the stage very nicely for us because while the current regulations are localized in Southern California and Houston. The market knows well enough to look at those as leading indicators as to what might be expected more broadly in the nation. And so, this has been the topic of discussion certainly for the last two years at the American Boiler Manufacturer Association. And this year, we had a good fortune to be able to present our results to that audience for the first time relating to the Duplex burner, I would tell you the room was very crowded and it was a very well-received presentation, a very active Q&A and a lot of interest following from that. This is really, again, sort of the first time that we formally reported these results to the industry. So, what the sense of being about is the idea that you can take a burner of this type, install it in a boiler refinery heater and you can increase the capacity of that refinery or that boiler and at the same time reduce the cost owned and operated. Now, we all have been around in business long enough to know that any time, you can increase the productivity of a capital asset and reduce the cost of owning and operating the capital asset that is an attention getter because at the end of that mathematical formula is usually a very compelling return on investment and indeed that’s what our used cases are showing and we’re validating them with analysts and customers and the right people for all these segments. So this has been a very promising trajectory. The intellectual property is something where you dug into very deeply and formally recently and we are very gratified with what we are finding. We believe based on a review of dozens of patents as in the surrounding area that we have multiple claims that are offered a very good protection and very broad protection and very deep protection within this category. And that’s before we even get to the layers of application patents that surround this with respect to refineries use of this type of system in our refinery et cetera, et cetera. So that’s fairly a typical approach that we take as we try to layer the IP surrounding the technology. So, this is really a big, big win that we are chalking up with respect to the development that we have seen so far. The next effort as you know because we talked before is to down scale this up to about 5 million to 6 million Btu’s per hour that furnace is under construction as we speak and we expect in the next quarter or two to begin efforts in that – at that scale. Likely in conjunction with one or more partners and I’m going to circle back and sort of talk about the partnering landscape in general terms and specifically with respect to this segment of it. The other big news on technology development for us and some of this is perspective because we haven’t final reported any of this yet but it’s brand new, it’s very recent. As we do know, we – if you have been following the company we did announce that we had built a scaled up furnace for the combustion of solid fuels which have – it will handle what ways to tire derived fuel coal municipal solid waste. And we were successful at getting first fire going in and shaking it down and doing all that stuff, until very recently we had not yet charged that furnace. And so our first efforts to charge the furnace have really accrued over the last six to eight weeks. And two things, one, the early results are very exciting, we are seeing visibly clear to the naked eye results with respect to flame shape. We know that that translate into. We can also see a significant – very significant level of particulate reduction. And so as we instrument this up and continue with this development, we expect to report further good outcomes with respect to the charge – configuration of solid fuels. The second thing that’s really exciting is in order to make this work, we had to develop some very unique electrodes structure which we also believe are the subject of some very promising new intellectual property. And again, one of the big themes for us has bee the development of significant body of intellectual property surrounding the technology to a certain – kind of a critical mass footprint as we call out to prevent the competition and not just I’ll be happy because that’s what we bring to the table with respect to these partnerships. If you think about what our product, what our offering is with respect to partners, its market advantage. We are offering systems that have clear, compelling advantages versus legacy technologies and we believe that in conjunction with some of the partners that we are talking to that we can rapidly gain share and potentially even dominate some of these market segments because the advantages are that clear. And they are very big, very clear and very large dollar incense kind of advantages, which is one of the things we very much like about this. So the early going in solid fuels and I would say it’s a matter of weeks before report something to you has been encouraging enough that we have been able to align with a very large waste energy company multinational company in that domain. I think we are going to be able to share the name of that company later this year as we get further into the effort, I think, I say I think because that its my understanding at the moment but sometimes people change their mind. So we will them that out. And by the way, the reason that you see that with our company and that you may see with other companies with similar models, just to remind people that they don’t necessarily want to calibrate their punches to their competitors. They don’t – no one likes to necessarily have their product development plans made public. So that’s a challenge we have as a company who is a technology provider and a technology partner. We need to – and to make sense for us to really be differential to the desires of, some of our partners to maintain confidentiality around some of these efforts. And of course, they in their part are understanding with respect to our need to maintain transparency and that in fact these are going to be material to us as we go. So, we reported our 100th patent in, at the end of march, we are well into hundreds and teens now the rate at which we file doesn’t correlate to the rate at which we invent or rate at which we buy is driven by strategy and cash flow considerations, the rate at which we invent is driven by pure creativity and productivity and I will tell you that rate at which invention is occurring is largely unabated. This continues to be a very, very rich vein and we are mining it very aggressively and I think with the help of a very talented team led by Christopher (Wiklof) and Joe Colannino here very strategic going very well. So we are pretty excited about that. Let’s talk of that whatever focused on including ourselves right now which is business development how we turn all these great technological breakthroughs into revenues and earnings and growth and profitability and penetration of large global markets. And as you probably most of you know our model of course is to partner in and bring these technologies to market. We work very closely with our partners in the first commercial instantiations and referenceable systems that will be demonstration sites that’s alpha beta that sort of thing. And as we go we will become more of pure licensing knowledge base kind of model. So given that we have these three segments that I have just identified those are the three areas that we are focused on. And the refinery and petrochemical space, we have active dialog what I would characterize as bottom of the funnel kind of dialog going with not only the major incumbence but with several companies whose strategy would be to use the advantage of technology like ours to enter the category as a growth market for them. Category today is dominated by a handful of vendors in the U.S., it’s a very lucrative market because it’s a high value process, right, the savings from improved flame patent can be $50 million a year in a single refinery location and more and some other and that’s their old systems typically that’s you get into a more exaggerated kind of effect. And that’s sort of a new dimension to this. That really is post-ADMA I guess is the way to think about that. We had lots of folks approach us for a lot of different applications and by the way in addition to those three segments that I mentioned there are lots of smaller vertical niches within the combustion world where we have active dialog going with probably as many as 50 vendors in any given time but again what we are looking at is, where the large suite spots in the marketplace we have potentially some dominant players to go to market with. In the area of package boilers, again, we have both system level manufacturers and burner level manufacturers that are keenly interested in the technology at different scales. We could see one or more development deals in that category. And then in the area of solid fuels we mentioned our work in waste energy and that’s our primary focus at the moment. Although, its somewhat generic because during our experiments were attached with multiple fuels, right, so, someone who is interested in (biomass) not necessarily municipals hard ways can easily gain advantage from the same type of system. And as I said that’s very, very promising. Another area, so the goal here will be to just to complete partnerships in those three areas ideally during the next two quarters, if we get all the three done in the next two quarters will be extremely happy if one of the three slips into the first quarter – I think will still be very much on track from a planning perspective. The other area that we are pretty excited about and has the potential to be – we think really enormous is business development activities in Asia. And I think I mentioned on our last call that we had engaged a group called CR Asia, which is led by a gentlemen Joe Massey. Joe is a former trade representative of U.S. government to China, he is Ronald Regan and George Herbert Walker Bush’s Chief Trade Negotiator to China some years ago. And he works with people who are resident in the host country and partners over there. We began an effort with them mid-June and are seeing very, very strong interest coming back, which we will likely capitalize on the first half of next year. The structure that seems to be preferred and that we see people have success with is a joint venture type of structure. We are not married to that. That’s not casting stone. But, the likelihood collaboration there would be in the form of some kind of a joint venture. And the reason is that that we have didn’t have a partner in the host country who are likely be very well placed politically and economically. And who have shared and aligned interest with us and we can – it’s a large enough market that it makes sense to capitalize that effort independently and substantially as well. So, that effort is ongoing. And as I said, the early interest is very strong from some very capable partners with very deep pockets. We are sure there would be more but the early indication is very strong. It’s actually a very interesting story, I won’t bore with some of the details. There is some regions in China that are really focused heavily on innovation and entrepreneurship and incubation of technology. And there is a lot of money behind these regional efforts and a lot of influence. So, we think we are connecting into the right places there. So, we look to go forward key focus there, the goal of -- that partnerships in turn will be to collaborate to continue to scale up the technology bring it to a state of readiness for commercial deployment, retrofits and new builds, retrofits is by far the larger portion of the market that’s not new in the combustion space. That’s fairly typical. And again, we think we have some very compelling advantages with respect to the duplex burner and with respect to the solid fuel system. And the case for the solid fuel, we are targeting initially from an emissions perspective particulate matter and also find particulate matter in carbon monoxide and then nitrogen oxide. One of the themes we have been hearing from prospective partners and customers in the space is that they are equally interested in the idea of increased furnace capacity. By making heat distribution more uniform through the furnace volume, we are able to get more capacity out of the furnace that has substantial economic value and solid fuel waste energy and other kinds of just as it does in refineries. So, with that said, I think we are ready to turn it over to Q&A and take whatever questions you might have.
Operator: (Operator Instructions) The first question comes from Jim Mcllree of Chardan Capital.
Jim Mcllree - Chardan Capital: Yes, thanks and good afternoon.
Richard Rutkowski: Hi, Jim.
Jim Mcllree - Chardan Capital: Hey, Rick on the Duplex burner architecture, I’m a little bit confused as to the interplay between that and the ECC technology, it almost sounds as if its a completely different products for you, is it back or is it that -- it’s most effective with the ECC, however, works with traditional burner technology as well? And then I have another question at the level.
Richard Rutkowski: Yes, you should probably think it as a bit of Venn diagram or the heavy overlap on ECC because what happens here is that we anchor the flame on the lower stage, lower floor of the Duplex if you will in a vertical configuration. During start up and then we release it and allow it to move up to the bluff body configuration. So, you’re right in that if I took the ECC out of this, this would still be a proprietary design the very idea of having a proximal on a digital flame holder et cetera, et cetera. I don't want to go into much of the actual claim language and having combustion occur and mixing in the extended what we call the entrainment line, is in itself novel, that’s a determination we’ve made. And there is several aspects of it which are novel. By far, the best implementation of it is to use the ECC technology to anchor the flame. And that’s you know someone asked such as an interesting question is, is there one effect that you really gotten just overwhelming response to. And the answer is, we’ve gotten a very strong response through a variety of different effects. So, we’ve been able to show. But the one that I just really baffle’s people is the idea that we can pull these flames down against this high velocity of flow on current and stabilize these flames. So, I suspected Jim as we scale and the 5 million, you’ll see ECC begin to play a greater role in stabilizing the flame potentially on the upper tier as well but it would be correct to say that you could create an instance on this technology that didn’t’ use the Electrodynamic control on the primary player, it would be mechanically a bit complex and not nearly as, --not have nearly as much utility and we’re on the IP for that as well. So, yes, its bit of an overlap and it does. And I think we’ll see this happen as we progress in the history of the company that the idea of this is very much rooted in the ability to manipulate the flame and change configurations on the ply. And so, I think as I said, you’ll see more ECC player role but I mean you probably characterize it about correctly.
Jim Mcllree - Chardan Capital: Great. And secondly, you talked about the space to energy company and I think it where the easiest, but you have aligned with them, can you help me understand what that means that --…
Richard Rutkowski: Yes, that would be more details forthcoming but it’s essentially there is money involved. And it’s the model that we’ve described before the idea here is that the partner’s fund in part or in a whole the development activities from certain point forward and that in consideration of that, we negotiate certain preferential market rights, might be early access to a market, it might be exclusivity within some territory or within some classification. But generally, the model is that they would fund the development efforts and if it would successful at the end, that they would have essentially an option to enter into a licensed agreement. Different folks, the different approaches in terms of when they want to penetrate the back end. Obviously, you don't want to get too far into one of these things without having done that. But, the other thing that’s really typical is that as you would guess with any project of this kind is that you structure a series of faces to redesign to retire risks. So, your strength say what are the highest risk components of this development, let’s make sure we tackle those on the front end of the process and trying to do that in as prescribed fashion as we can. So, that’s a bit of proverbial long poll and the technology risk can, you try and identify what that is and structure a cost effective project to address to that one risk fairly on and then once that’s retired continue the sequence them in the same way. So, that’s not uncommon that you would see the faces become successfully larger in terms of the level of financial commitment as well which of course as someone investing in a project that has risk in it as how you’d like to see that occur. So, I think those are sort of a general guideline. We had a little bit of back and forth because it has been our understanding and desire that we’re going to be able to announce some of the numbers related to this contract earlier and it now appears that was a little bit of a hotspot for the partner in this case. And so we sort of deferred until we have a more definitized agreement and are deeper to do it. We’ve conducted what we would call the phase zero which is sort in the baseline feasibility for that project that attribute a green light for Phase I and that’s been very successful and as I said the sort of the bonus was that, that into the equation we came up with a very novel and I think very clearly novel all electrode structure for this type of system. That’s going to be important because there is -- I’m trying to describe, without describing it. Because it would allow us some very practical means of implementation in this kind of stoker type of system and reduce. We think the overall cost of retrofitting among other things. So, that’s pretty exciting. One of the things that it’s a bit, trying (thing) had to put us. If things come too easily, it’s always nice but it’s always encouraging to me when we struggle a little bit on the front end of a project and then it takes some sort of breakthrough to enable something because that’s when that it’s non-obvious and that you have to do something novel and proprietary to make things work. And we’ve been experiencing that in multiple areas. Another one that we haven’t really emphasized as much I think I may have talked about this briefly, I know we didn’t report it in separate press releases. We have found a way to get much higher voltages per unit volume of air into the system than we thought we’re possible even a quarter or two ago. And that is encouraging because it just opens up the design space for us. So, if, were that not the case, we’d be looking at how to serialize or parallelize to scale relative to volume. But we’ve now developed some – again, and this is very good IP because I think it’s very clear IP that’s highly differentiated. We have methods of constructing electrodes that would allow us to get very, very high charge density which is a key metric for us into the gas volume. So, I have to tell you, I’m delighted with the progress that the Joe and his team have made and the progress that Roberto and Andy are having in the field and we’re getting a great reception and what happens as we sit down to the table with these partners, you start going in with used case and then we sit down and we turn into a business case which is at the end of the day. How many of these we’re going to sell, what kind of market share we’re going to get, looks like we’re going to do for your business partner and what they are going to do for our business. And we’re talking some partnership have some pretty ambitious business goals and as a consequence of that this become very strategic and important this becomes the potential growth engine to meet those kinds of goals and objectives. So, we’re delighted as that the bottom of the funnel right now is active and unfold and we’re very pleased with all that. And I think you will begin to see evidence of that in short order and I think we will be able to talk more about some of the details. In fact, as I said earlier, possibly even including the partner in this solid fuel effort hopefully in the current quarter.
Jim Mcllree - Chardan Capital: Okay. That’s great. Thanks a lot Rick.
Richard Rutkowski: Yes. Thank you, Jim.
Operator: Our next question comes from Richard Deutsch at Ladenburg Thalmann.
Richard Deutsch - Ladenburg Thalmann: Yes, hi, thank you.
Richard Rutkowski: All right.
Richard Deutsch - Ladenburg Thalmann: Very interesting story. I think you can make money teaching people how to talk about a technology company, very impressive. The only question I have is, (inaudible) following this, what are your plans for financing, I know you have enough money to not burn out so you get to April of next year, plus have you laid out any other kind of landscape for us to look at in terms of financing?
Richard Rutkowski: Yes, sure. If you are new to the story, you may have missed this but we became eligible for an S3 type filing in late April which was one year from our public offering. And so we took advantage to that eligibility and did put up the self-registration statement so that’s in place. And that’s going to allow us to be agile and opportunistic and I think very quick, we prequalified numerous investors. And so I think we’re feeling confident that at the right moment opportunistically we can access the capital markets. Obviously, a part of our strategy is to minimize dilution or better way to put that maybe to leverage our existing capital through these development contracts and as we look our total operating budget right now Richard is $5 million plus for the current year. It would move up a little bit next year but we expect to fairly substantial offset, I’d say certainly in 2014 from development projects to that. So, I think our capital needs will continue to be modest but we will at some point access the market and obviously we’ll try to be responsive to market conditions as relates to large (shares) particular when the market conditions more broadly. But we got a good following and a good interest in that. So, I think we’re confident that we can access the capital that we need, when the time come. Another element, this is quite interesting, is in the context of this kind of arrangement that I’ve mentioned, in China, there may be a two-prong approach to that where the partner would invest both in joint venture in the host country and possibly in our company. We’ve also had a suggesting from at least a couple of the other partners that we are talking to that there may be some opportunity for strategic investment from them as well. And in some cases, they wouldn’t necessarily be either end users or manufacturers, they are sort of partners which utility for example, gas utility things of that nature. I always take that with a little bit of grimace. So, I never like to hang my hat on that idea was strategic investment. But it certainly the possibility and our capital needs at the moment are small enough that we feel comfortable with the range of options that I have just outlined should be able to take care of those handle it for the foreseeable future in any case.
Richard Deutsch - Ladenburg Thalmann: Well, thank you. That answers the question.
Richard Rutkowski: Yes. Thank you, Richard. Are you based in New York?
Richard Deutsch - Ladenburg Thalmann: No, I’m in the Boca Raton, branch.
Richard Rutkowski: Okay. Well, (forget not) way we’ll be sure to stop and see you.
Richard Deutsch - Ladenburg Thalmann: Yes.
Richard Rutkowski: (inaudible).
Richard Deutsch - Ladenburg Thalmann: Kind of combined to that. So, it’s the kind of stuff we like to work on.
Richard Rutkowski: Sounds great. We have some, we got some great investors down in your neck of the woods and it’s been a while since we’ve been down and seen them. So, we will be, we are going to do that.
Richard Deutsch - Ladenburg Thalmann: Okay, great. Thanks.
Operator: (Operator Instructions)
Richard Rutkowski: Looks like there are no further questions at the moment. So, again I would -- the things that I want to emphasis are intellectual property, we’re feeling very good and increasingly good, frankly about the scope to the quantity and the quality of the IP that’s being a (inaudible) and the position that’s giving us with respect to our partnering efforts both domestically and overseas. And by the way, I believe we are offending one by not mentioning Europe. There is a lot of activity in Europe as well but Asia is a special interest to us in China because of truly pressing problems and then equally, correspondingly significant market opportunity. So, hence the emphasis on that. So, again, steady as she goes, or putting one point in front of the other deeply engaged in a range of negotiations with the host of different companies and continuing to push activity through the business development funnel. Two things that I mentioned in the press release, I guess that I did not touch on here, one is which is that we’re seeing some interest in gasification as well and I guess the other is, I did mention, the other geographic area that would be new for 2014, would be in Asia. So, in addition to the three market areas that we described the refineries, package boilers and solid fuel combustion at the industrial scale. So, thanks so much for joining us today. We’ll be attending several conferences this fall so stay tuned for those kinds of announcement and as we do those, we’ll be more than happy to schedule one-on-one meetings with the folks who are interested as well. Thanks again and do look forward to catching up on our next call with more news to come.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You many now disconnect.